Operator: Good afternoon ladies and gentlemen, and welcome to the Analyst Call on the GSK Third Quarter 2019 Results. I will now hand you over to Sarah Elton-Farr, Head of Investor Relations, who will introduce today's session.
Sarah Elton-Farr: Thank you. Good morning and good afternoon. Thank you for joining us on our Q3 2019 results, which were issued earlier today. You should have received our press release and can view the presentation on GSK's website. For those not able to view the webcast slides that accompany today's call are located on the Investors section of our website. Before we begin, please refer to slide 2 of our presentation for our cautionary statement. Our speakers today are Chief Executive Officer, Emma Walmsley; Iain Mackay, Chief Financial Officer; Luke Miels, President, Global Pharmaceuticals; and David Redfern, Chief Strategy Officer and Chairman of ViiV. Hal Barron, Brian McNamara and Roger Connor are joining us for the Q&A section of the call. We request that you only ask a maximum of two questions, so that everyone has a chance to participate. And with that, I will hand the floor over to Emma.
Emma Walmsley: Thank you Seth. 2019 is an important year of execution for GSK and I'm pleased that we've made continued good progress this quarter with growth in sales in constant exchange rates across the group. Group sales growth of 11% in CER terms or 6% on a pro forma basis, reflected an increase in sales in all three of our global businesses with a particularly strong performance in Vaccines. The Pharma business continues to shift its portfolio shape with strong growth from our newer Respiratory products and Benlysta. Consumer benefited this quarter from the consolidation of the Pfizer-Consumer Healthcare business, powering sales growth of 25%. On a pro forma basis the consumer business grew at 3% in line with our expectations. Group adjusted operating margin this quarter was down two percentage points on a CER basis, primarily due to the impact of generic competition to Advair in the U.S., while also substantially increasing investments in R&D and support for new launches. This was partially offset by a strong contribution from Vaccines. On a total basis, earnings per share declined 1% to £31.4 and adjusted earnings per share increased 1% to £38.6, reflecting both our operating performance and a lower tax rate. Iain will give you more detail in a moment. But based on this delivery and our outlook I'm pleased that we are able to again update our 2019 earnings guidance. Our free cash flow year-to-date was £2.5 billion in line with our expectations. And as guided previously, cash flows are weighted for the second half of the year. For this quarter, we've continued to make progress against our priorities for the whole company: innovation, performance and trust all to be powered by an ongoing culture change. We've continued to execute on new product launches and have demonstrated strong growth with Nucala and Trelegy in respiratory and mostly notably in vaccines with Shingrix now expected to deliver high-teens million of doses this year with continued improvement in supply. This has been a very important culture of progress against our top priority of strengthening our pipeline, including three positive readouts in three pivotal oncology studies. In August, we reported positive headline results from our DREAMM-2 study of our BCMA antibody drug conjugate belantamab mafodotin in fourth-line multiple myeloma. We're on track here with regulatory submissions supporting potential first launches next year to help patients who are refractory to daratumumab and are running out of treatment options. In September, we presented positive data at ESMO supporting the use of Zejula monotherapy for women with ovarian cancer in the first-line maintenance setting irrespective of biomarker status. And we're on track here to make regulatory submissions by the end of the year. We also last week received approval for Zejula in the later-line treatment setting. We also presented at ESMO encouraging data on our ICOS agonist supporting a move into Phase III studies in head and neck cancer in combination with pembrolizumab by the end of the year. And we now have positive data in house in our PD-1 inhibitor dostarlimab. We plan to make a U.S. reg submission for use in second-line endometrial cancer by the end of this year too. Beyond oncology, it's also been a busy pipeline quarter. In Respiratory, we recently made a U.S. submission for Trelegy in the treatment of asthma and received European approval for Nucala self-administration. In HIV, we received positive data in the ATLAS 2-month study looking at eight-week dosing now for a long-acting HIV treatment. This builds on what has already been a very strong year of data supporting the two-drug regimens in HIV. We also recently started Phase III studies of our novel antibiotic, gepotidacin the first in a new class of antibiotics in uncomplicated urinary tract infections and urogenital gonorrhea. Moving to performance. I'm pleased with our delivery on sales growth on cost control and on strength in cash flow. We completed the creation of the joint venture with Pfizer and have started work on integrating these two businesses under Brian's leadership building a world leader in consumer health with a strong and exciting portfolio of brands. And in Pharma, we continued to build our specialty capabilities ready to support the three oncology launches, we anticipate next year. We're hiring people with the right oncology experience in the key markets and doing so at a pace. And finally on Trust, we want GSK to continue to lead with a broader contribution to society. And this quarter I was delighted to see that ambition reflected in the Dow Jones Sustainability Index where GSK was listed for the first time as a top-ranked company in the pharma sector. And this week we were pleased to see the final results of our Phase II study for our candidate TB vaccine published in the NEJM potentially providing the global health community with a new tool to help provide protection against TB. So, in summary Q3 represents another quarter of strategic progress and good growth with all our priorities remaining on track. I'll now hand you over to Iain, who's going to give you some more detail on our Q3 financial performance.
Iain Mackay: Thanks, Emma. All the comments we make today will be on a constant currency basis except where I specify otherwise. And I'll cover both total and adjusted results. On slide 8 is a summary of the group's results for Q3, which was a strong quarter across all three businesses. Reported turnover growth was 11%, reflecting the closure of the consumer joint venture with Pfizer on 31st, July with group revenue growth at 6% on a pro forma basis. Total operating profit is up 3% with total EPS down 1%. On an adjusted basis operating profit was up 3% reported and was down 1% pro forma while adjusted EPS was up 1%. I'll go through the drivers behind these in more detail in a moment. We delivered £1.9 billion free cash flow in the quarter in line with expectations, reflecting higher operating cash flows and improvements in working capital. On currency, a weaker sterling particularly against U.S. dollar and Japanese yen resulted in a tailwind of 5% in sales and 8% to adjusted EPS. Slide 9 summarizes the reconciliation of our total to adjusted results. The main adjusting items in the quarter were major restructuring focused on the supply chain, but also some initial charges for the integration of the Consumer Healthcare JV with Pfizer. Within transaction related a re-measurement of the ViiV contingent consideration liability primarily driven by changes in exchange rates as well as the unwind of the fair value uplift on inventory taken on as part of the Consumer Healthcare JV. And within the disposals column the main contributor is a gain from the reevaluation of the embedded derivative in respect of GSK's exposure to movements in the Hindustan Unilever share price. Our comments from here onwards are on an adjusted results, unless stated otherwise. Slide 10 summarizes the Pharmaceutical business, where revenues were up 3%. Luke and David will take you through the performance of some of our key products shortly so I'll just point out a couple of important considerations. Starting with Respiratory. Sales were up 19% with continued growth from Trelegy and Nucala across all regions. This was partly offset by Relvar/Breo which declined 8% globally driven by a 32% decline in the U.S. reflecting the impact of generic Advair on pricing in the ICS/LABA class. We continued to have good growth expectations outside the U.S. And this quarter sales grew 19% in Europe and 22% in international. Overall revenues in HIV were flat with the dolutegravir franchise up 2% globally. The dynamics in this market reflect the impact of competition as well as the shift within our portfolio towards our two-drug regimens, with growth in Juluca and Dovato offsetting declines in Tivicay and Triumeq. At a regional level, dolutegravir grew in Europe and international and was flat in the U.S. We've seen an encouraging start for Dovato both in the U.S. and in Europe where we had our first launches this quarter. We continued to build momentum with the two-drug regimens but as anticipated it will take several quarters for them to become a significant contributor to growth. Our Established Pharmaceuticals portfolio declined 5% overall driven by U.S. Advair sales, which were down 64% as expected given generic competition. This was offset by a continued upside on Ventolin from the authorized generic launched in the U.S. earlier in the year, which you will remember is an in-year benefit ahead of the introduction of the substitutable generics expected in 2020. We also saw favorable RAR true-ups in the U.S. primarily on Flovent. Outside Respiratory, the remainder of the Established Pharma portfolio grew by 1% in the quarter helped by the phasing of some tenders in Europe. Our expectation for the longer term for this part of Established Products portfolio excluding Respiratory remains a mid to high single-digit decline. Overall, benefiting from some in-Europe sales we now expect to see Pharma sales broadly flat in 2019. Turning to the operating margin. We saw a decline in the quarter mainly driven by unfavorable product mix and price impacts including notably the impact of generic Advair; TESARO dilution which in line with previous guidance we expect to have a sustained impact over 2019; in SG&A some provisions for ongoing legal cases as well as investments in promotional activity for new launches; and in Pharma R&D spend which increased by 19% reflecting our investment behind priority assets. Slide 11 gives you an overview of Vaccines performance in Q3, with sales up 15% driven mainly by Shingrix but also by meningitis and flu vaccines. Shingrix continues to benefit from our actions to increase our supply capacity with revenues in the quarter of GBP 535 million driven by continued strong uptake in the U.S. as well as in Germany and Canada. With our strengthened supply position, we now expect to achieve high teens of millions of doses this year. We expect to be able to supply slightly more doses in 2020 than in 2019. But as we've said before, we do not expect a significant step change in doses until we bring a new facility online. In our meningitis portfolio, Bexsero continued to perform well, growing 19% in the quarter, with share gains in the U.S. and strong demand across all regions. Flu was up 15%, which was helped by an earlier season compared with last year, but also reflected share gains, given our speed to market and the favorable impact from our prior year returns provision reversal. The phasing benefit will wash through in Q4 where we expect a decline in flu, given the higher comparator. Overall, I expect our full year volumes to be slightly ahead of last year. The Q3 operating margin of 50% reflects enhanced operating leverage from seasonality of the business as well as product mix including Shingrix and Bexsero and higher royalties. Looking forward, Q4 is normally one of our lower-margin quarters for Vaccines, given mix and seasonality trends throughout the year, but we expect to see Vaccines margin this year above the mid-30s. In the longer term, we'll increase investment in SG&A as we expand Shingrix geographically and in R&D as we invest behind priority assets. Also, note that this quarter, we announced the divestment of travel vaccines, Rabipur and Encepur, reflecting actions to further simplify our supply chain and increase focus on and investment in innovation. Turning to Slide 12. Consumer now includes the Pfizer portfolio after the closure of the JV at the end of July with sales of the new JV up 3% in a pro forma basis, despite a drag of around 1% from the combined impact of divestments and the phasing of low-margin contract manufacturing. We saw a good performance from our power brands particularly in the U.S. and international. We also saw Europe returned to growth this quarter. In oral health, Sensodyne grew double digits in the quarter; while in wellness Panadol continues to perform strongly; and Advil was flat, reflecting a partial recovery from historical supply issues. The integration has started well and we expect to have a revised external category reporting structure in place from Q1, 2020 to appropriately reflect key drivers of the combined business and to take into account divestments. The divestment of the Indian Nutrition business to Hindustan Unilever is progressing and we now expect closure in Q1, 2020 subject to receipt of regulatory approvals. We're also moving forward with other divestments, which will continue through next year, proceeds of which will help fund integration and restructuring activities. Operating margin in Q3 was 24%, higher as expected reflecting the benefits of sales of seasonal cold and flu products, as well as the strong ongoing focus on cost control and benefits from restructuring and manufacturing. Worth bearing in mind that Q3 is usually our highest quarter given this seasonality. And therefore in Q4, we expect higher costs and lower margin as we promote to drive consumption. On Slide 13, we summarized sales and adjusted operating margins. At a group level, SG&A increased reflecting investments in TESARO and new product launches alongside continued tight cost control, while R&D increased as we invest in developing our pipeline including the TESARO assets. In royalties, these were higher driven by Gardasil and we now expect royalties for the year to be around £350 million. Moving to the bottom half of the P&L, I'd highlight the following. In interest expense, we continued to see the benefits of our refinancing activities. Also note that this quarter also included a fair value gain in interest rate swaps. We now expect an interest expense of between £850 million and £900 million for the year. Effective tax rate in the quarter of 15.8% reflects our ongoing progress in settling historic tax matters in key jurisdictions and now have a rate of 16.9% year-to-date. The changing shape of our business and the transformational M&A we've undertaken, together with the progress in settling historic tax disputes means that we now expect an effective tax rate of around 17% for the full year. We continue to expect to see an average effective tax rate of 19% over the medium term. On non-controlling interest, we saw the initial impact of Pfizer share of profits of the new Consumer Healthcare JV. And in Q4, we'll see the first full quarter impact on this line. On free cash flow, we remain focused on driving greater cash discipline across the group and generated £2.4 billion of free cash flow in the first nine months of the year, very much in line with our expectations. This was driven by improved operating profits and working capital management as well as a benefit from FX so far this year, offset by the launch of generic Advair and related phasing of rebates and the upfront payment of £300 million to Merck KGaA. We're pleased with the progress on cash flow. And as previously noted we do expect to see a step-down overall this year versus 2018 as the impact of Advair genericization flows through. A number of the factors that we incorporated into our previous guidance are playing out very much as we expected. However, we are seeing better operational performance in Pharma and Vaccines businesses and are benefiting from lower interest expense and a lower effective tax rate. In the remainder of the year, we'll see continued impact from generic competition to Advair, higher non-controlling interests, increased targeted promotion in priority markets and R&D spend continuing to grow. Taking these factors into account, we now expect adjusted 2019 earnings per share to be around flat compared to 2018. With that I'll hand over to Luke.
Luke Miels: Thanks, Iain. Good morning, and good afternoon. So within Pharma and Vaccines our focus on improved commercial execution continued. As on – overall, our growth this year is clearly impacted by the launch of generic Advair. We're seeing a strong performance from our new product. Now I'm going to take you through a few examples of where we've made changes to refocus our resources and are seeing positive results. So starting with Respiratory on Slide 18. Trelegy, I'm pleased to tell you continued to do well with sales of £139 million in Q3. Globally launches have had a good start and we continue to drive uptake. We have submitted the data from the CAPTAIN study in asthma to the FDA and hope to get approval next year. Around 30% of asthma patients taking an ICS/LABA still experience symptoms, so this filing is an important step and what's giving them an additional treatment option. Trelegy is now launched in 38 markets around the world including Japan. We're planning for launch in China later this year. In asthma biologics, Nucala remains the market leader in total sales in major markets around the world and continues to grow quarter-over-quarter. The launch of the at-home administration combined with improved execution has increased our performance in the U.S. retail segment and assisted in our ability to remain the market leader despite competition. Also this quarter we presented data from the real-world evidence study at ERS demonstrating highly positive results on reduction in exacerbation and reduction in oral corticosteroid use. We're the first biologic agent to present this data and further reinforcing our leading market position. At this conference we were pleased to hear feedback that indicated that our monthly at-home dosing is seen by physicians as a very positive in terms of patient compliance and the opportunity with biologics remains significant with slightly more than 25% of suitable patients receiving therapy today. Moving to Slide 19. I want to highlight that our PARP inhibitor Zejula remains an important treatment option for ovarian cancer patient in the second-line maintenance study. We're maintaining our leading position in this indication and are now focused on the opportunity to expand the reach of Zejula to women in the first-line maintenance setting through our PRIMA data which we presented at ESMO last month. The PRIMA data show a clear benefit in using Zejula, across all biomarker subgroups, providing unique opportunity to help patients in the first-line setting, regardless of HIV status. We think the PARP inhibitors are an underutilized class. In the U.S., only 31% of patients currently receive one in the second-line maintenance setting, falling to 12% in the first-line setting. With the data presented at ESMO, I'm confident that this will change. We've now shown that Zejula is proven to be a better option than watch and wait and anticipate filing based on this data by the end of the year. And finally, we are pleased to receive approval of our sNDA for Zejula in late-stage ovarian cancer based on our QUADRA data. This approval allows us to address the unmet clinical need of patients and demonstrate that Zejula is active as a late-line therapy for women beyond those with BRCA mutation. We're making rapid and material progress on building out our oncology commercial capability and the acquisition of TESARO has catalyzed this process. We've also rebalanced our sales force chargers in the U.S. and have been actively recruiting people with a great track record of success in oncology into key markets. And we're already seeing some of this benefit come through and expect to see this reflected in our sales performance starting from the end of this year as our refocused approach flows through. Moving to the next slide. I think it's fair to say Benlysta is a good example of how we are investing more broadly in specialty care and accelerating our growth. With the approval of a subcut formulation in 2017 and increased support behind the product and a new team, we have driven strong performance this year. Benlysta remains the first and only medicine for Italy in over 50 years and yet this condition remains significantly undertreated. We're also working hard to generate more data to support the increased use of Benlysta. On the back of an investigator-sponsored pilot study, we're evaluating Benlysta with a single cycle of rituximab in the Phase III BLISS-BELIEVE study, which started in March last year. Two agents have different complementary mechanisms of action and early data suggest that a single-prime co-administration of rituximab could enhance the treatment effect of Benlysta to provide sustained disease control and could also eventually lead to remission. We'll have the headline results from the study by the end of 2020. And we also expect to see lupus nephritis -- a data from lupus nephritis at the end of the year. And if positive, these studies could become key contributors to future growth. Moving on to Vaccine. We continue to be delighted with the performance of our business, particularly the contributions to growth from our shingles vaccine Shingrix and our meningitis B vaccine Bexsero. We're pretty pleased with the commercial execution of Shingrix, particularly in the U.S. market, where we've had good progress in accelerating our supply, deliver sales of £535 million this quarter. We look forward to our phased launches in China and Japan next year. Bexsero has also made a meaningful contribution to growth. We saw strong demand across the regions, share gains in the U.S. market, where we are benefiting from the convenience of our dosing schedule relative to competition. And in Europe, where the disease burden is higher for instance, we're also differentiated by a label by where we have the only meningitis flu vaccine indicated for this age group. And now to David to take you through performance in our HIV business.
David Redfern: Thanks, Luke. Good afternoon, good morning everyone. In Q3, sales of dolutegravir grew 2%, while declines in the material products resulted in HIV sales overall being flat during the quarter. In the U.S., total dolutegravir was flat reflecting a slight year-on-year share decline as we transition to the new 2-drug portfolio. However, Juluca and Dovato combined now account for approximately 3% of TRx and over 5.5% of MBRX with weekly script of approximately 2,700 and 900 respectively. In particular, we are encouraged by the progress of Dovato where MBRX is now approximately 3.5% ahead of the Juluca launch trajectory and with positive feedback received from the early physician and patient adopters. In Europe, we started the launch of Dovato during the quarter and saw dolutegravir up 3% with good volume growth and market share gains across all major markets offsetting some price cuts. In international, we continued to see strong dolutegravir growth, which was up 9% although slightly lower than previous quarters due to the timing of certain tenders. The launch of Dovato and the strong flow two-drug regimen clinical data will help support the ongoing growth of the portfolio. In addition to the important 96-week GEMINI data for Dovato and the TANGO switch study that we presented at IAS in July and which was very well received. During the quarter we also announced the positive ATLAS 8-week data for cabotegravir, which shows the potential of this medicine to be a once every two months treatment. We expect the regulatory decision on cabotegravir from the FDA by the end of this year. The importance of our filing with the FDA by the end of 2019 is also on track. Overall, we continue to be confident in the growth potential of our HIV portfolio. With that, I'll hand back to Emma.
Emma Walmsley: Thanks, David. So as a reminder, we've seen good growth in all three businesses this quarter and have made excellent progress on our three priorities of innovation performance and trust. We're on track with the four key areas of focus. We're progressing our pipeline with a number of positive data readouts in hand, importantly in our three key pivotal oncology studies where we have regulatory submissions to come, but also in HIV with our long-acting HIV treatment where we filed for approval for 4-week dosing and also have data in hand for eight weeks. We've also filed for approval for Trelegy in asthma and received the European approval for Nucala self-administration. And we progressed other assets too with the Phase III study started in gepotidacin and plans to start pivotal studies with ICOS in head and neck also by year-end. We're continuing to drive improvements in our operating performance and our specialty capability. And we're working towards a successful integration with Pfizer now that the consumer JV has completed. Successfully delivering these priorities over the coming years will provide a clear pathway for the creation of two great businesses: one focused on Pharma and Vaccines; the other on Consumer Health. So we're now joined for Q&A by Hal on the phone and Brian and Roger. And so with that operator the team also here in the room is ready to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Andrew Baum, Citi. Please go ahead. You are live in the call.
Andrew Baum: Thank you. A couple of questions please. Firstly, to Luke, the Senate Finance Committee recently proposed a step-up in funding by the industry and PBMs the catastrophic coverage in Part D in exchange for a cap on out-of-pocket payments. Thinking about Zejula and more broadly your oncology pipeline of small molecules is this a proposal that GSK supports thinking about both the direct and indirect potential hit to net revenues although offset by volumes? That's first question. Second question much shorter. I didn't see any commentary on GSK Pharma in China. Perhaps you could talk to that performance? Many thanks.
Emma Walmsley: Thanks, Andrew. So I'll ask Luke to comment both on China and then add anything on what's happening in the sort of pricing and regulatory environment in the U.S. So just to say that it's obviously extremely dynamic at the moment. There are a lot of different proposals potentially under review. As you know, we're monitoring all of them very carefully. In terms of -- and obviously also engaging with the administration on them. I mean just in terms of big-picture principles what GSK supports is working towards addressing some of the real challenge in terms of patient out-of-pocket where we're particularly supportive of rebates reform overall and being able to pass on -- pass through to patients some of the discounts there and in that sense a cap on out-of-pocket is potentially a sensible idea. We also support transparency and anything that simultaneously drives access and innovation. And we continue to monitor, which bits will come through in some of the direct impact overall for us. So Luke I don't know if there's anything you want to add on that, but then specifically answer the China question.
Luke Miels: Yeah, sure. So on China, Andrew if you look at our pack, we -- and quarter two was the latest information we have, our growth was around 20%. So that's respectable in the middle of the pack there. I think in terms of the future, the key thing is we're putting the building blocks in place now. We've got the launch of Trelegy coming where a key component of that will be to build acceptance on the part of Chinese physicians to treat COPD more aggressive. The background population is significant. It's enormous actually. And you have background things such as pollution and smoking, et cetera, which drive this. So that's one product that we're very interested in. I think with Cervarix things are starting to improve been a bit lumpy but we're now getting about 120,000 in arm shots per month and the trend is upwards there. If you look at Benlysta, which we're now in the process of launching in China that again is something that will take some time to build, but again it's an innovative product with limited direct competition. And also we are increasingly competitive with Seretide, Flovent and Ventolin. So I think it's again off a smaller base than some of our competitors, but the features are falling into place. We then have the launch of Shingrix next year, which will be a very targeted initial launch because of the supply elements that you know well. And we are also looking right now in terms of negotiations through our access for Anoro and Relvar in China. So hopefully over time, we can get a few of these things lining up and we'll start to grow our base business in China.
Emma Walmsley: Thanks, Luke. Next question please.
Operator: Thank you. Next question comes from the line of Steve Scala, Cowen. Please go ahead. You're live in the call.
Steve Scala: Thank you. Two questions. The first is a follow-up on reform. But in GSK's 19-year history this could be the first time it raised guidance twice in one year, let alone the first time in -- let alone the first three quarters. This, obviously, shows the strength of the business. But Emma what does it tell us about your real concerns around U.S. healthcare reforms and Brexit? It would seem GSK would not want to show its full strength if it were truly concerned about upcoming changes either in Washington or London. Secondly, on Shingrix, the company continues to say that we should not expect a significant increase in doses produced in the near-term. But the high-teens number of doses GSK will deliver this year was to have been achieved in two to three years. So some major gains have been achieved despite management's cautions. Are you saying that a year from now, the number of doses produced absolutely will not exceed $20 million? Thank you.
Emma Walmsley: Thanks, Steve very much. And, I mean actually your two questions are linked to a degree in terms of what we've been able to over deliver in terms of -- versus initial expectations in terms of operating performance because, obviously, Shingrix is going extremely well. This is very much a supply driven business for us, but it is a fantastic product and we do expect it to be a material contributor to growth for the company for quite some years yet. But once we got the preferential recommendation and could see that demand was going to very swiftly strip supply, we did mobilize very materially across all of Roger's team to try and increase our supply. It's very complicated to produce a vaccine. And I think whether it be through -- I mean all across that value chain we've been quite successful in making that progress, which is why we were allowed to bring forward that delivery to high teens. Now I am not going to put an additional number on -- specifically on the doses for next year. But if you listened to Iain's outline, we said we would expect slightly more doses in 2020. But we don't expect a step change until we have that new facility in place, which we've said externally we talk about around 2024. So at this stage that is the -- I suppose the overall commentary I can provide on Shingrix. And in terms of your point on guidance for this year, I mean again as I think Iain were to step you through on his presentation, we -- the upgrade this quarter is in part because of operating performance in both Vaccines and in Pharma, but also we are benefiting from a shift in our guidance around tax rate, which contributes again this quarter. But it's both aspects of it. The length of our matt [ph] in terms of impacts of Brexit and the U.S. reform, obviously, in terms of materiality, the U.K. is less than 4% of our global business and the U.S. remains our biggest market and the most important market for innovation still at the moment. Brexit we've been long prepared for operationally and all of that has been in place frankly because we have a secured supply both in the U.K. and in Europe. And we're more focused on -- in securing regardless of the new government, a life sciences-friendly environment for our heavy investments still in the U.K. beyond the upcoming election. And I'm quite confident about that on the basis that, it is a strategic industry for this country whether it's us or other, large-cap companies, or indeed the sort of biotech and education environment here. For the U.S., I see it -- it's as you all know extremely dynamic. As we've already said, we're watching it carefully. But in some ways it's -- in some ways it's uncomplicated, because as long as we innovate differentially and price responsibly that will be our best opportunity for driving growth. And we'll just monitor it live as it lands and responders' impact comes through. That was too long an answer to your two detailed questions. Transfer me to next one please. Thank you.
Operator: Next question comes from the line of Peter Welford, Jefferies. Please go ahead. You are live on a call.
Peter Welford: Oh Hi. Thanks for taking my question. And firstly, I just wonder if you can talk a little bit about 2020. I appreciate it's early to give guidance for this year already. But can you just perhaps give us some broad terms, what the potential pushes and pulls we should think of. I guess aside from Shingrix where obviously, I think, you've outlined that pretty clearly. But just in terms of both the top line, but also in terms of the earnings momentum? And then just secondly, for how -- perhaps on the pipeline, I noticed daprodustat both of those are slightly earlier than we had anticipated. Now should get those reads. Just wondering is there's anything we should read into that. And then also, 772 the RIP1K, if you could just perhaps give us some insight into why that's gone back into research phase it would be much appreciated. Thank you.
Emma Walmsley: Okay. So I'll come to Hal in a second on the dapro and the RIP1 two, question. But the short answer on 2020 is we'll tell you in February. There's no expected change although there are puts and takes in the overall outlook for the -- for 2020 that we've guided to previously. And we'll give more detail on that in Feb. So Hal, do you want to pick up the other two questions please?
Hal Barron: Yeah. Thank you for the question, Peter. In regards to dapro, you say, we've moved up the interim analysis. But I should say, that that's an analysis we're doing for internal purposes only. As you know we have a very robust program. And while, we I think have very, very high confidence that the drug and probably the class is useful in terms of improving hematocrit, the real question is compared to gepo whether the cardiovascular profile will be equivalent or superior. And so we thought it's prudent to do an interim analysis. And based on events, we thought that we could move up the timing of that. But again, that's internal. And its more of a safety outlook. So that's why that is. As you know the full data will be later. And that's event-driven, and so we'll put that out when we can. The other question was about RIP1 kinase. We have decided based on an examination of the data generated in three different clinical trials, small Phase, IIa-type trials, to move the molecule back to a search. We haven't killed the program. But we felt that based on the data there is a number of outstanding research questions that need to be addressed to understand why the effect was less than we had hoped for. And we have a number of hypotheses that, we're not willing to share at this time. But we'll be exploring them either in research studies or even possibly should some of those hypotheses bear out pre-clinically potentially even moving it back to Phase I. But that'll be dependent on some research studies that we're going to undertake to understand why the molecule was unfortunately not as active as we had hoped.
Emma Walmsley: Thanks, Hal. Next question please.
Operator: Next question comes from the line of Graham Parry, Bank of America Merrill Lynch. Please proceed.
Graham Parry: Great, thanks for taking my question. So firstly on Shingrix could you just help us quantify slightly more in 2020? And is that slightly more each year out to 2024 and when the capacity kicks in? So for example, if you take in all Cervarix capacity out of the glycoprotein bioreactors already, or is that still an improvement you've got to come? And when you bring more capacity online in 2024, will you have the adjuvant capacity to match? Or is that going to start becoming a constraint at that time? And then secondly, on the ASO HBV, I see you've got data coming on that now at AASLD, for the Phase II data. Is this a game-changer? I think how you called this out as one of the two most exciting assets with a proof-of-concept readout at your first R&D day that you still think that's the case? Thank you.
Emma Walmsley: Thanks, Graham. So I'll come to Hal on the second question. And the short answer, I'm afraid to your first question is, we can't give you any more details than we've just outlined. We confirm slightly more in 2020. But obviously, we're working on this continuously. And it remains fluid. But we wouldn't commit to any step change until 2024 with a new sight. And obviously we work on all aspects concurrently to make sure that that step change can be delivered. But, I'll then come back to Hal please to HBV.
Hal Barron: Hello. Hi Graham thanks for the question. I think we remain excited about the potential for the ASO HBV, program for a lot of reasons. First of all, it's an incredibly important medical problem. There is I think, somewhere over 200 million people clinically infected with HBV. And many of them probably over 1 million will die of hepatic failures cirrhosis or even hepatic cellular carcinoma. So -- and available treatments are very limited in terms of the efficacy and they're certainly not without the toxicity. So a novel therapy can be a significant advance for patients and a very important asset for GSK, should it work. We reported that the Phase III data, did show significant activity with a reasonable well-tolerated safety profile that is the 836 molecule and we'll be sharing that data within the next, I think three to four weeks at the AASLD. It's also important that it's a very novel approach using ASOs as we mentioned for that opens up an opportunity for us to think about that as a novel modality for intervening particularly in liver disease, so we're excited about that. But its early days and we're working with the regulators in multiple countries actually to figure out, how to move with the asset forward into a Phase IIb study. But as I said the data will be forthcoming at the Liver Meetings next month.
Emma Walmsley: Right. And the only other thing about that whilst reiterating the early days point is the relevance potentially of our asset should the data be -- make it worth progressing for the China market. Really to reinforce what Luke was saying earlier that is obviously a deregulating increasing the innovation focused market, where we're starting from a low base, but we're thoughtful about the pipeline. We may be able to bring over the years ahead. Next question please.
Operator: Next question comes from the line of Richard Parkes, Deutsche Bank. Please go ahead.
Richard Parkes: Hi, thanks for taking my questions. First on -- financial one and then a pipeline one. So I thought I'd give another try to Peter's question on outlook for 2020. Just more whether you could give us some kind of directions there on the pushes and pulls on the margin in 2020. I think you've already highlighted there's likely to be pressure on the Vaccines margin, so given to reinvest. So I'm wondering what other positives or negatives there might be and kind of directionally where R&D spend as a percent of sales might be moving. So just detail there? Second question, I wonder if you could give us some clarity on when we might see the efficacy data from the PRIMA study by starting dose. And if you could help us understand how confident you are you can get that individualized dosing in the label given that only 1/3 of patients in the PRIMA study were eligible for that revised starting dose? Thanks very much.
Emma Walmsley: Thank you. So we'll come to Hal in a minute on PRIMA and dosing. On 2020, I'm going to reiterate that we'll update you on 2020 in 2020. Iain might want to add a couple of comments really repeating what he said in his introductory remarks around some of the dynamics between Vaccines and our choice to invest in R&D. The only thing that I would say quite firmly is, we do not believe in targeting a fixed percentage of R&D spend. We are very clear on our capital allocation priorities and right at the top of that list is strengthening our pipeline for future growth and that means investing behind new launches as we have been in our execution, but also investing in R&D and that's been a big driver as you've seen with increases this year.  And as data demand, we would expect to continue to do so, but certainly not as just some kind of target because people can always spend money. So the discipline the how is driving around that. But likewise in Vaccines and as Iain also mentioned over the next few years as proof of concepts come through for our next wave of Vaccines pipeline, should that data merit it, we will want to back those. So long may the Shingrix contribution continue, but we're obviously very thoughtful about what may come in the longer life cycle of the Vaccines development. Iain would you like to be any more generous in the info for 2020?
Iain Mackay: I won't use up too much of the call talking about things that we will do and talk about it when we do the full year results in 2020. But I think if you reflect on what we talked about as we walked through the numbers and the priorities of the company from an innovation performance and trust, it's clearly focused on growth. And an important part of that is supporting launches of assets in priority markets and investing behind R&D. So the broad shape of where we will allocate capital and our energy and resources will not be significantly different to where we've invested those resources over the course of 2019. But we will give you guidance that you can sink your teeth into when we get the full year results out in February next year.
Emma Walmsley: Next question please.
Operator: Next question comes from the line of Keyur Parekh, Goldman Sachs.
Emma Walmsley: Sorry. Sorry, sorry. I forgot. Hold on this is extremely important. Can I come back to Hal on PRIMA? Sorry.
Hal Barron: Okay. Yes. Thanks, Richard if you can still hear me. So thanks for the question. And I think it was related to the subgroup that received the weight in place in a prospective manner. We're in the midst of evaluating that data right now as you can imagine. As you said it's a smaller subset so that's challenging to do both the analyses overall, but more importantly in each of the subgroups. But we're mostly through that. Once that data is analyzed, we will be submitting that to regulatory authorities and publishing that in a meeting. Although we don't have it -- a date set for that. I should point out that -- two things. First, the clinicians, I think, are very cognizant of the fact that using the weight in place dosing regimen where you adjust the dose down to 200 milligrams when the body weight is in excess of 77 kilograms or the platelet count is below 150. And I think we're pretty confident that that does reduce the incidence of thrombocytopenia. The prospective analysis is looking at how similar the treatment effect is. But -- and as I said, we'll have that data soon. But the -- most of the clinicians are already sort of using that kind of dosing paradigm as they treat their patients today.
Emma Walmsley: Thank you, Hal. I apologize. Back to the next questioner please.
Operator: Thank you. Keyur Parekh, you’re live in the call. Please ask your question.
Keyur Parekh: Good afternoon.
Emma Walmsley: Hey, we lost you. Hello? Okay. I think we've lost Keyur. Maybe I can come back and ask for another question please. And then we'll come to Keyur in a minute.
Operator: Thank you. Next question comes from the line of Geoff Porges, SVB Leerink. Please go ahead. You’re live in the call.
Geoff Porges: Thank you very much for offer me chance to call. Just a pipeline question, if I may. Could you give us a sense of when your pentavalent men vaccine -- when we'll see that Phase II data? You haven't given a time line. And what would be the criteria for proceeding to Phase III? Thanks.
Emma Walmsley: Sure. So, Roger over to you.
Roger Connor: Yeah. Thanks for the question. I think from an ABCWY point of view, we're obviously committed to developing our product. As you know, we're bringing together Bexsero, the world's leading MenB vaccine with Menveo. We are just completed Phase II in terms of studies. We've looked at 1,400 subjects in that study. We expect to see the final Phase II data during the first half of next year. And actually at the moment, we're engaged in regulatory discussions around the pathway and how we take it forward into Phase III. So this -- through the first half of next year we'll be looking at the data from the Phase II.
Emma Walmsley: Thanks Roger. Do we have Keyur back yet? No. Okay. Next question please.
Operator: The next question comes from Laura Sutcliffe, UBS. Please go ahead. You’re live in the call.
Laura Sutcliffe: Hello. Thank you. Two questions please both on HIV. I think you've talked about the business transitioning to a new portfolio in terms of HIV drugs. And so whilst Triumeq obviously is still going to be an important drug for many patients, how should we be thinking about the resources you'll be putting behind that versus other drugs in the portfolio in future? So in other words, should we be looking at this as more of a legacy product from now on? And also, you should all being well be able to launch your injectable product next year. Assuming it becomes a product that has a once every eight-week option further down the line is that ultimately the optimal profile for that sort of product? Or would you try to refine this or any other injectable any further? Thank you.
Emma Walmsley: Thanks. So both of those for David please.
David Redfern: Yeah. Hi Laura. So, I think we've said several times that we really see the future growth of the HIV portfolio coming through two drug regimens whether that's oral or as you say, hopefully the first long acting on the market next year. In the case of oral and principally Dovato, that of course is powered by dolutegravir. And our efforts are really promoting two drug regimen, so that is where we're putting our results, so this year behind Dovato and Juluca; and next year including cabotegravir. As I said in my remarks, it's relatively early days, but we're pleased with the progress sales of the two drug regimen of £119 million in the quarter, and hopefully more to come as we get the guidelines updated and the label updated in the U.S. for the positive TANGO data. And I would also say that weight gain is -- on the tax side is becoming a growing issue. We saw a bit of that with the advanced study at IAS, but more recently the -- meta-analysis of, I think about 5,700 patients from eight studies. Meta-analysis is never perfect as you know, but there is growing noise around that, so we'll have to see how that plays out. I think on cabotegravir, look, we're excited about this. Great data, the FLAIR and ATLAS studies and then we supplemented that with the eight-week data this quarter. It won't be for every patient. I think there have been a lot of patients happy to continue on oral therapy. But for those patients that are interested in moving, they're very passionate about it. Clearly every eight weeks, I think will be preferable to every month. Ultimately if we could move it up to coincide with patient visits, which is typically now every six months that would be better. But every eight weeks is a major step forward and we're very excited to produce the first long-acting medicine on the market.
Emma Walmsley: Thanks David. Next question please.
Operator: Next question comes from the line of Keyur Parekh, Goldman Sachs. Please go ahead. You’re live in the call.
Keyur Parekh: Hi. Can you guys hear me okay now?
Emma Walmsley: Just perfectly Keyur.
Keyur Parekh: All right. Thanks. Two questions please. One for Luke on Zejula, look, given the data we have seen at ESMO, would you expect Zejula to be on the NCCN Guidelines? And if so, can you help us think about the time lines associated with that previous the approval? And then secondly on China and I know you've made some comments about the growth rate, but clearly the base of business still remains to be very small. Merck has reported a 90% growth for Gardasil this quarter. When do you think China will become a relevant/substantive part of the business? Is it likely in 2020? Or should I think of it as an opportunity beyond that? Thank you.
Emma Walmsley: Right. So, we'll give both those questions to Luke.
Luke Miels: So I think in terms of China beyond that chaos, I mean, I think you are going to need to see assets like Shingrix under full supply to materially shift our base business in China. In Cervarix again, our target right now think about 60% of our business from school-age girls and that's a program which we only launched a couple of quarters away – ago and it's been very successful. So again it's an interesting battle there. We do have some age advantages versus Cervarix and we're now concentrating on that. We've also made changes to the team in China which again I think will become more visible and fine. But material change to significant scale is further out. In terms of Zejula, so we believe the NCCN Guidelines committee is going to be meeting around the 31st of October. I guess the question is we have published PRIMA in the New England Journal. We have yet to see a publication from the other study and we have not filed the PRIMA data with the FDA as you said at this point. So I guess the open question is going to be will the committee move ahead and signal their support for PRIMA based on that scenario? Or will they wait to either we file or the second study is published? It's hard to speculate. As you can imagine, we're certainly making our case that we believe the guidelines would change. And whether they change in October or whether they change in a couple of months time I still think the days of watching weight are going to be increasingly difficult to justify. And again, when we announced the deal that was a key assumption of us that as Hal has said the PARP class is underutilized. So, I think it's a matter of time, but we would like it to come sooner obviously for the benefit of those patients and we see flow through for Zejula.
Emma Walmsley: Thanks very much, Luke. Next question please, I think we have now ore. Yeah. One more question.
Operator: Tim Anderson, Wolfe Research. Please go ahead. You’re live in the call.
Tim Anderson: Thank you. I have a Vaccines R&D question. So with Shingrix you've shown that you can go into an existing market with a better product and do quite well. And I'm wondering, if that is capable of being repeated in a couple of other areas where you already have a presence. So with Gardasil for example with Merck that can be a $7 billion or $8 billion product over time. You have a product in this space didn't gain much traction. But what about trying to come up with a new version that is more competitive? Same question in the Prevnar space too where you have Synflorix. So should we assume that you will not try to reenter these areas with new and improved products? Or could this be a possibility? And then second question on consumer now that the transaction was closed with Pfizer just an update on timing of the spin. I guess the real question is why it really needs to take three years. Could it be pulled forward? And is that guidance of three years overly conservative?
Emma Walmsley: Okay. Thanks very much, Tim. So I'll ask Roger to talk to you about the Vaccines pipeline and then I'll come back on the – finally on the group demerger.
Roger Connor: Listen thanks very much for the question. I have to say there's a high degree of excitement in Vaccines about the pipeline that we've got. A couple of general comments. First, obviously we're pleased with the breadth that we have and the shift that we're making into therapeutic vaccination treating disease -- on specific preventing. I think a backbone of that strategy is our adjuvant technology, actually adjuvant platform. As many of you know that adjuvant system is a key part of what made Shingrix so successful. And in our Vaccines pipeline, we're really looking to maximize that. A couple of assets that I would draw that I think we can really use to optimize that our COPD vaccine for chronic obstructive pulmonary disease an exciting year next year when in the second half we should see the proof-of-concept data that has AS01 in it as well. That's the only vaccine really in development for COPD huge opportunity there just given GSK's legacy in this space. And particularly U.S. alone where there are 16 million people suffering from COPD, we really believe that that vaccine could have a real really significant impact to reduce acute exacerbation and disease progression with such a proportion of exacerbation linked to infection that the vaccine will treat. On RSV as well, I think, we're looking to use our platform technology and our science again to differentiate. I've mentioned before we got three vaccines in the RSV space. Again, maternal we think just linking to your question about where can we exploit our knowledge and experience with maternal vaccination experience with districts for example and we really feel a lot of experience we can drive our maternal vaccination in RSV. Our older adult vaccine, I'm excited about as well again, it builds off the adjuvant platform. Also big opportunity there again in the U.S. 70 million people over the age of 60. And then we have a pediatric vaccine in RSV2, which builds off another platform we have which is our viral vector platform too. So lots going on in the Vaccines space. And others -- other assets in the early stage like our hepatitis B vaccine our C. diff vaccine again that's build off our adjuvant platform.
Emma Walmsley: Thanks, Roger. And then on the consumer health there's no change to our declared intent to separate the consumer business around three years from close. That is not a rolling three years. We've already clocked down a quarter. And the reason that we think that is around the right time is because we have the experience of doing this before. And both Brian and I and the Board believes and know how big a job it is to integrate two companies successfully whilst continuing to perform competitively and extract the synergies that we're confident and committed to delivering. But also at the same time as making sure that that business is set up for success and a great store independently it is during this period that we're continuing to work to make progress on our pipeline both in Pharma and in Vaccines and the build of our specialty capability as well. So we think this is around the right time line. Obviously, that is this time around a decision that GSK is in control of up to five years. And should we ever change our view on the target data there and we'll update things, but for now there's certainly no change to that at all and we think about right.
Emma Walmsley: So with that thank you very much everybody for joining the call today and we shall look forward to talking to you soon. Thank you.
Operator: Thank you.